Operator: Good morning. My name is Steve and I will be your conference operator today. At this time, I would like to welcome everyone to the IAC’s second quarter earnings calls. All lines have been placed on mute to prevent any background noise. (Operator Instructions). Thank you. I’ll now turn the call over Tom McInerney, Chief Financial Officer. Please go ahead.
Tom McInerney: Thank you operator, and thank you everyone for joining us this morning for our Q2 2011 earnings call. Barry and Greg will make some brief remarks after which I will come back and then we will go to Q&A. But first I will remind you that during this call, we may discuss our outlooks for future performance. These forward-looking statements typically are preceded by words such as; we expect, we believe, we anticipate, or similar statements. These forward-looking statements are subject to risks and uncertainties and our actual results could differ materially from the views expressed today. Some of these risks have been set forth in our Q2 2011 press release and our periodic reports filed with the SEC. We will also discuss certain non-GAAP measures and I refer you to our press release and the Investor Relations section of our website for all comparable GAAP measures and full reconciliation. With that, I'll turn it over to Barry.
Barry Diller: Thank you, Tom. Good morning everybody. I think the real significance to me today, quarter is certainly good, but I think you all kind of know that over the last two years really, the last at least eight quarters, I mean we’ve been growing in averagely up 40% a year, 40% a quarter, would be right, I think.
Greg Blatt: High 30s, I think the last eight quarter by one average growth.
Barry Diller: So, I think if there is significant, it’s the significant fact. A few years ago, we said that that we were really going to manage our businesses. We thought we had in our hand, we thought we had some good businesses. We thought that with real concentration they could be developed and that they would start producing real results, that been happening not for a month, not for a quarter, but for a couple of years. We see that continuing. I don’t know that I would make any projections towards two future years of high 30s growth, but we see a tremendous amount of runway ahead. We have done all this as I think you all know with very little investment. It has not cost us very much capital to grow these businesses are probably CapEx for the businesses themselves and by the nature of these businesses quite low. We, as you know, today we authorized an additional $15 million shares for potential purchase, will follow our historical strategy of being opportunistic about buying the stock, but we certainly over the year has been consistent, so certainly in doing so and certainly in this last quarter we have. So, it’s a good summary of not only the growth to date, but the last couple of years but with the change in management with Mr. Blatt becoming CEO and we would like to take a further concentration and focus on the businesses we have and the opportunities within those businesses. I think we are the in best shape we have ever been. That’s a big statement for me. So with that Mr. Blatt, why don’t you talk to the folks?
Greg Blatt: Thanks, Barry. I guess the biggest development since the last call was our announcement of the Meetic transaction. This is a case I think of being both opportunistic and strategic. Meetic’s business is about as core to our business skills and focuses is really anything. But we only decided to act when we saw the opportunity for real long-term value creation. The competitive situation is pretty tense in Europe right now. So the price really had to come down a lot from its highs in order for us to be interested in increasing our stake. A €15 per share, we are confident we can get rewarded for the hard work we will do to get Meetic’s core business going in the right direction again. We’re also increasing the global footprint across which we can leverage initiatives in the dating space in years to come. On capital allocation as Barry referenced I think what you have seen this quarter is representative of our general philosophy and outlook. Bottom line is we like our businesses a lot. So we’ve been buying back stock and we are making investments in our core areas. Meetic is obviously a big example. We’ve also begun committing dollars to develop new dating and similar products through a new group formed by OkCupid’s founders, putting small dollars in certain search initiatives and generally scouring our four principles business areas media search, local and dating for profitable ways to invest. I think when you couple this with the healthy dose we ploughed back into our shares themselves demonstrates confidence in what we are doing and believe there is real room for expansion, both organically and to a lesser extent through acquisitions within and around our current businesses. One final footnote. Chris Terill new ServiceMagic CEO, will hit his 90 day mark this month. So I have a little more to say about what we are seeing for that business next quarter. For now I’d say simply that he has brought a lot of energy and a new perspective to a business that it can very ably run by its founders for 10 years and we are feeling really good about where that fresh look will take us. Tom.
Thomas McInerney: Thanks Greg. Just before we jump into Q&A I just wanted to spend a couple of moments on some supplemental information as it relates to the second quarter and going forward. Search had another very strong quarter and fundamentals remained positive. We saw a generally balanced revenue growth across our principle activities B2B and B2C tool bars, destination websites and CityGrid all saw a double-digit growth in the quarter. The growth in OIBA outpaced revenue due to operating leverage in part to expense control and part due to the benefits of the late 2010 restructuring action we took at Ask. Match had another very good quarter with strong with good top and bottom-line results led by the core operations which saw 17% growth in subscribers and 22% growth in revenue. Going forward, we feel extremely good about business fundamentals, but I want to point out a few things which will affect Q3 both top and bottom-line. First in the top-line, we will anniversary the first full quarter beyond distribution arrangement and as we’ve said on previous calls this has been worth a few points of top-line growth to us in the last few quarters. So to accomplish back gets a little bit tougher. Second, earlier in the year we made a strategic decision to reduce marketing against our Singlesnet brand which is one of the developing businesses and you will recall this was acquired by experimental, a very small acquisition we made and the reduction in marketing actually helps profitability, but hurts revenue specifically in the developing group and the cumulative effect of this reduction will now impact reported top-line growth rate to a greater degree in Q3 in that developing category. And then on the bottom-line for tactical reasons we expect materially higher offline marketing spend in the third quarter against at least two of our core brands including Match. This increase year-on-year is a function of both comp issues spend with unusually low in the prior year period and tactical issues in connection with new product launches and other timing considerations. You know we’ve said countless times that we do not run this business or any of our businesses for consistent quarter-to-quarter financial results, with an usual every growth in the business year-to-date and while we could have spend more in the first two quarters instead of Q3, we decided for tactical reasons to spend more in Q3. So as a result, margins are more likely to be flattish year-on-year overall in the segment before we get into all the Meetic effects and as it relates to the Meetic transaction, we currently expect it to conclude late in the third quarter and assuming we end up with over 50% ownership, we will consolidate the financial results of that business from the closed date forward. Because of the uncertainties of the transaction timing, as well as the myriad of accounting effects including the write-off of deferred revenue as required by purchase accounting, it’s impossible to predict at this time what the impact of this will be on our results, but we’ll isolate those impacts when we report Q3 and suffice it to say and Gregg alluded to this, we’re more excited than ever about the acquisition as we go forward and we’ll just call out as a section in Q3 when we report. Finally, our cash generation continues to remain very strong. And AS you see, we made a major commitment over the last three months to buying back our stock to the tune of 7.2 million shares at $263 million. While we’ve made a dent in our capitalization over the last two and half years with nearly 1.6 billion in cumulative cash repatriated and more than 200 million in investments and acquisitions. We still have substantial resources to pursue both, growth and additional repatriation. At quarter end, we had 912 million in cash and equivalents plus 361 million set aside for the maximum we could spend on Meetic if we got 100% of the company. As is our practice, we’ll not provide further prognostication about the mix or timing of capital deployment other than to say we are philosophically committed to both. With that, operator let's get the questions.
Operator: (Operator Instructions) And your first question comes from the line John Blackledge with Credit Suisse. Your line is now open.
John Blackledge - Credit Suisse: That was great, thanks you. A fantastic quarter, I have a question on the search business. So the overall search results were excellent with search margins being much better than we had expected. Maybe if you can provide a little bit more detail on the drivers of margin outside in 2Q and then if you could just give us a sense of margin expectations for 3Q in the back half of the year. And then also from a longer-term perspective how should we think about search margins in 2012 and going out? Thank you.
Tom McInerney: Sure. You know it’s like our other business, I think I have said this on search for a number of quarters running. When we are able to get the type of top-line growth we did in the quarter which is very strong at 28%, then just the natural physics of the business are going to lead to operating leverage while we are making kind of incremental and tactical investments in rolling out new products and things all the time, 28% revenue growth is a lot to play with in terms of incremental profitability. So we had good and efficient marketing, we have really increased marketing which is, you know we look to increased marketing to help drive that top-line, marketing expenditures overall were up slightly actually as a percentage of revenue as I think we called out in the release. But the fact of the matter is half off of the OpEx expense base or just when we get back on the revenue growth we are going to bring more of it to the bottom-line absent something special going on. I think there was a little bit of some benefit from some expenses in the prior year quarter, but most of it was just good old fashioned kind of operating leverage on that revenue growth. For the back half of the year, I don't want to make specific kind of forecast that is our custom. I would say the general trends in terms of year-over-year improvement and the forces that have given rise to it largely remain in place. So I don’t see with kind of the absence of a negative. I don’t see something right now that would fundamentally change, what have been good momentum in the business and we will see how it shapes out. I mean obviously their dynamic markets, dynamic businesses and we are kind of competing everyday across the businesses. And longer-term I would say the same thing which is when we are able to get good revenue growth we have now got a number of quarters running. The margin will be there and you know right now we don’t see something changing and we’ll see how it plays out overtime.
Operator: Your next question comes from the line of Ross Sandler from RBC Capital Markets. Your line is now open.
Ross Sandler - RBC Capital Markets: Thanks guys, a good quarter. Just a couple questions on the personal business; Gregg, first question is more strategic. Do you have any color yet on what the tendering process looks like at this point? Give me a sense of how many shares you guys may end up getting and if we step back for a second, assuming you do control over 50% of the company; how does this change the longer-term strategic picture from Match to Meetic as a combined worldwide personal business either other synergies that exist and then given your early traction that experiencing seems from, it’s been an announcement as I see, as your view of keeping Match and the other business combined under one roof changed at all? And then have one follow-up question.
Greg Blatt: I think, I won’t predict exactly what will end up with, but I will – I’ll be shocked if we go to that with over 6%. So we fully expect to control the company and that’s an important part of our planning there. I think depends what you mean by synergy. I think a big reason for our making this offer was we really looked at the situation, it reminded us a lot of the U.S. situation in 2008. There was a lot of dollars being spend there, there was a lot of competition, growth had stalled, you actually plot the Match through subscriber and revenue line against from sort of ’06, ’07, ’08 against Meetic’s over the last three years and they were very, very similar. And we realized we had to be able to increase the amount we spent on marketing while decreasing the cost of our subscriber, which is not really an easy thing to do and we were able to do it. And we did it through really a combination of product improvements and real systematic improvement analytics and as we worked with Meetic, we think there is a huge operation, huge opportunity to bring those learnings to Europe and we think we are absolutely going to be able to restart that growth, the top line growth in a profitable way that Meetic has really lost its way on. And I think people look at these businesses and there are a lot of competitions out there but, there are better and less good ways to do certain things and I think we have gotten really good at this. And I think, so it’s not cost synergies in the sense of centralizations and other things. Our teams are already engaged forcefully together in bringing those learnings to Europe. I think it will be, it will take a little while to see the results but we expect to get them. And I think beyond sort of what I will call the block and tackling operational benefits we see there, I really do think as we look ahead in this area, I think technology and product innovation is going to continue to change this category, probably more than it has over the last 15 years and I really do think see there will be changes I think there was changes are leverage on a global basis and already work for starting I mentioned earlier we are start to develop a bunch of new product or developing those products with global distribution in mind and the ability to do that with existing community is on a global basis really make it much more efficient in effective programs. So I think their medium term benefits from operational learning, I think mid to long-terms benefits from the strategic opportunities. In terms of spin-off, I think the answer is no or we are certainly not thinking about right now. Obviously we do think about the extensive questions from time-to-time and we look at our portfolio and we decide what we are going to have and what we shouldn’t. But I will say that the longer I sit in this chair, the more I see sort of the interrelationship between the various businesses we have and I really like what we have right now. As there is a lot of cross learning, cross sort of work together in key areas and while these are different businesses and we use a lot of the same languages, a lot of the same tools and that the people who run these businesses are working together and learning together and I think that my rule is always been, keep the businesses if they are doing better for being part of IC than they would be alone. I really think that’s the case right now, I mean from the ability to go out and do the Meetic tender offer, which is certainly made much easier by begin part of IC to the again the cross pollination in learnings about how to leverage Facebook and Google and all the various things that these businesses do. I really don’t see any reason to breakup the portfolio in a significant way right now and where we feel really good about us.
Barry Diller: Yeah, I would only add that with Expedia spinning itself , the trip advisor spinning out of the Expedia slated for spin offs for about I think foreseeable time, this is number 8, so I think I will probably hold a record for spinning things off, but I think we have a good hand, I don't think we should, you can get up to the brink of considering splitting apart or spinning out any of the IAC assets.
Ross Sandler - RBC Capital Markets: And Tom real quick on the follow-up on your comments on Match margins you said flattish year-on-year in the third quarter, you also called out better efficiency and customer acquisition in the press release. So can you reconcile I guess you are spending more but spending more at more efficient levels or what are…?
Tom McInerney: Yeah I mean largely the effect in Q3, which you are repeating from what is said, is largely timing related. We said Gregg and team said at the beginning of the year and they plot out marketing plans, online, offline, campaigns, its against new products, its against what's going on in the business and the first, second and third priorities in staging that marketing is against what's right for the business as opposed to what it does to quarterly results. We do not put and I have been very consistent on this. I have said it for years. We don't put a big value in saying, well two quarters of 17% growth each as opposed to one of 30% and one of 10% or whatever it maybe. And we tend to think more year-over-year, we tend to think what's going to be right for the business longer term and as a result of that we are ending up with more marketing in Q3 this year, relative to the prior year than we did in Q2 relative to the prior year.
Greg Blatt: Also, I think it’s important to remember that in the Match business marketing, is done in a way where you market against a lifetime value. So even the most efficient marketing spend is negative to profit in the quarter than you’d expect. So you can have the best marketing in the world, if you increase your marketing you are going to lose margin in that quarter that’s not the way we plan our marketing, we measure our line and marketing margin on a life time basis. So anytime you increase marketing, you’re going to hurt margin in that period. That’s the nature of the business.
Barry Diller: That in general, the efficiencies have been good. We expect them to continue to be over that lifetime values right there. Let’s have our next question, please.
Operator: Your next question comes from the line of Brian Fitzgerald with UBS. Your line is now open.
Brian Fitzgerald - UBS: Thanks you guys. I wanted to search a bit, can you give us some color about what drove the higher tax as a percentage of revenue may be perhaps differentiating between the different businesses there as CityGrid, Match, Spark etcetera?
Tom McInerney: Yeah, there was no further, it’s not a big move. I know we called that in our release I think it was somewhere between the point and two queue as a percentage of revenue over the prior period. As we dissect it, it’s really two effects, one is, is mix and they’re just some new launches in terms of where we’re spending and where we’re getting the returns of things like that. So I think the second point of which probably the more important point, is as I said this before, we look to increase marketing as long as it’s returning well more than what we’re spending. And one of our big goals and all our business is certainly of the search business in Match as well is to spend more in marketing without regard to whether that next dollar of spend is at the same exact rate of efficiencies, everything we have been spending before as long as it’s returning well in excess of what we’re spending. So we consider it a good thing, that revenue growth is highly correlated to that increase in marketing. We wouldn’t just wake up and see 28% revenue growth if weren’t driving that marketing line. I think a nice part of the business is the marketing spend is across the business is the definition side that the toolbar has offered to download and it’s across channel too, its display, it search, its CPA through affiliates. It’s a broad range of stuff which leads to a bid of diversification in the business which is nice longer term.
Greg Blatt: And also just again the same Match phenomenon exists in some of the search businesses where they spend against lifetime values. So you spend profitable basis but it brings down the quarter, so.
Brian Fitzgerald - UBS: Maybe a quick follow-up, can you tell us while we are on the search, can you tell us what you are seeing in terms of CPCs in terms of the different industry verticals.
Greg Blatt: Yeah, in general a slight positive, but most of the revenue gains in the quarter were volume driven and again related to the marketing and other activity. So I would say overall revenue per query which counting CPCs plus coverage click-through rates, everything that drives that revenue per query, net it out when you look at all the mix stuff and everything else to a slight single digit year-over-year positive for us, which helped a little bit, but it wasn’t a big driver of the revenue growth which was volume related.
Operator: Next question comes from the line of Mark Mahaney from Citi. Your line is open.
Mark Mahaney - Citigroup: Two questions please on ServiceMagic, I know you want to hold off a little bit before going into that in detail, but how about this. What sort of goals are you setting out there that are going to tell you that Chris and his team are successful with that asset and you know improving that asset and then secondly if you could just comment on the Google terms and conditions or the changes that you've had. I assume from the search results for the first half of the year that things have gone pretty well, but do you think we are seeing the full impact of the improvements that you were able to negotiate out of that Google deal or is there more on the come?
Greg Blatt: ServiceMagic is a network business. So you've got to take care of sort of both sides of the network. I think on the consumer side, I think we are very much focused on getting better at really reducing the cost of customer acquisition through better word of mouth and through better repeat usage. And that’s a combination branding, product experience and looking at the specific metrics we are setting, but certainly those two areas are something that we are very focused on and then on the provider side, you know, we need to continuously make sure we are providing enough value to the providers and that we keep that network robust and growing and so, I think you’ve got a set of metrics on both sides. If those metrics, the output is great result and you know, it is a complex business and he is incredibly immersed in it and ideas are developing and tactics developing, but I think it is premature to really talk about what those are at this point. On the Google deal, I think, yes, this is a full quarter of the Google deal. You know, won’t speak to the specific terms and conditions, but obviously the terms that we agreed to are not adversely impacting our business in any meaningful way. I think there are certain things that develop over time, but we think that the Google agreement is that this quarter’s performance is representative fully of the terms that we agreed to for the next five years.
Operator: Your next question comes from the line of Jeetil Patel from Deutsche Bank. Your line is open.
Jeetil Patel - Deutsche Bank: You know, I think if you look in the industry on a broader landscape, you are seeing an uptick in kind of local media, local advertising. You are obviously sitting on CityGrid and ServiceMagic. I am curious, are you seeing the same type of underlying lift or kind of interesting trend that online media, at least, small businesses looking to spend online and leverage the online channel as a way to generate business activity. Are you seeing that among your -- among those assets there and then second, curious as to do you need to kind of create additional products around the local media effort internally or do you potentially look at externally at acquisitions, the small opportunities to really beef up your presence even more or so in that category?
Greg Blatt: Jeetil on the first part, you know I think I would say the following, we are such a small percentage of local advertising spend in total and even really if online when you combine the CityGrid and ServiceMagic businesses, that we feel the opportunity to drive a lot of growth. We saw some this quarter. It contributed to our results, but it was hardly a big driver of our results and as Greg said, it’s not yet at aspirational levels in either of those businesses. What we are getting is a function and I think what we will get over the near future, very much from execution, from improving our products, improving our services, being of better service to our partners and consumers in both of those businesses. So I don’t think we are getting any uplift. I think that’s an offensive good, you know a good thing and that it is all there for us to take as we continue to execute better against both of those opportunities. On the second question, I think I look at two ways, they are the two businesses we have in this area which are both at stages where I think we are not yet looking to put meaningful acquisition dollars into growing them. I think we may be close, depends how things go, but there is still a number of things to be proven out in both of them before you’d expect that kind of activity. In the local area, generally which is one in four areas that we know and that we are in and that we spend lots of time thinking about and looking at, obviously if they were good opportunities that we saw and we wanted to go after them that added to that mix. It’s an area that we look at, but I don’t think the current environment has meaningfully changed our view. You know, we have obviously been in this area for a while and have been scratching away at it for a while and I think will continue to do so.
Jeetil Patel - Deutsche Bank:
Greg Blatt: Look I think we are always looking at everything. I think it’s not big being a part of the business model that we have. We think the business model we have is good. We also love subscription businesses, so we look at everything. But I don’t think there is some toggle that we are about to pull, it’s going to lead to a big subscription business at ServiceMagic.
Barry Diller: And the interesting thing about IAC is this is why the portfolio I think is compelling is that we are in probably more forms of advertising, different methods of advertising on the internet. As Greg says we’ve got as big a subscription business or maybe the biggest subscription business that exists on the internet, I don’t know. Well, yeah sorry, you could say Netflix is definitely a subscription business.
Greg Blatt: We know a fair amount of that.
Barry Diller: Yeah. We are in these various related [venues] and at scale and as I think Greg said and I think said well which is now really for the first time. You can always, companies can always talk about best practices and sharing those things, but really for the first time with the kind of management focus that is being brought to this, there are meanings leanings, learnings, everyday experiences that are now really coursing through all these different advertising and subscription products that we have and I think that’s another reason why not only the current also good, a wide runway is in front of us, it’s pretty long, pretty robust and I’ll circle back to the original question which is on the local side, we’ve been hanging around at local I think the most difficult area to organize on the internet for and lots of years and we have learned a lot. I think we are at the stage where we are close to teaming the process with network concept of CityGrid that overtime can really scale and that other component of advertising, local versus national, display versus responsive listen, the number of little quills we have got in our quill bag or whatever it’s called, I think is one of the reasons why we can compete in the future really strong. Next question?
Operator: Your next question comes from the line of Justin Post with Merrill Lynch. Your line is now open.
Justin Post - Banc of America Merrill Lynch: Great. Thanks for thoughts, and congrats on a good accelerating revenue quarter. First on Meetic, can you remind us of what the potential impact could be on the acquisition in 2012; just tell us a general framework of what it could mean to growth and profits if you can? And then secondly on the tax benefit, is that more of a one-time thing or is that something that could be sustainable and keep increasing the mix of say international or other factors in the business? Thanks.
Tom McInerney: Justin, you know we don’t have kind of formal guidance as we work to kind of combined with the company and take control and as Gregg said presuming kept level of stock we think we’ll get these plans will crystallize and we’ll update you in 90 days. I would say, I would kind of frame it this way, I think based on reasonable estimates and run-rates and kind of figures that are out there etcetera, the valuation at which we’re buying whatever we end up with, we’re somewhere in the high sixes as a multiple of kind of current year EBITDA. And so we bought it at a very good price for our strategic asset that we think we can bring a lot of value to what that translates into in terms of actual IOBA next year and the balance of short and long-term and growth rate and all the stuff is very much TBD, but we’re going to be laying our real cash, not monstrously large, but real cash and we’ll be getting real earnings return from that for those multiples as this specifics develop. On the tax question, Q2 I think was aberrational, we released some reserves that has been established back to Barry’s comment earlier back to the ‘05 in terms of Expedia, where statutes had expired related to those underwriting reserves that we’re able to release some reserves and that was the principle benefit that flowed through the tax rate in the current quarter and generally it was a one-time thing. Next question please.
Operator: The next question comes from the line of Jason Helfstein from Oppenheimer & Company. Your line is open.
Jason Helfstein - Oppenheimer & Company: Thanks. Two questions, one on Match and one on Daily Beast Newsweek. So just on Match, are you guys concerned about the lack of net add growth in the quarter and may be talk about plans to accelerate that growth and I think you referred in your prepared remarks add spending would be picked up, so ultimately to address that and do you think it’s a problem or not a problem? And then any update on the CEO search for Match? And then Barry, just can you comment on your tolerance for losses at Daily Beast Newsweek while it is below the line. It is kind of losing a decent amount money and kind of what do you expect to see with that asset maybe over the next 12 to 18 months? Thanks.
Greg Blatt: On the net add growth I guess I am not sure exactly what you are referencing. We sort of, we break it in to two groups developing and core. On the core side we are quite happy with it. Again, we had some anniversarying because the Yahoo! deal started during Q2 of last year, so a part of the anniversarying is hitting Q2 and part of it will hit Q3. But look in the core business which is organic year-over-year untainted by acquisition effects, we expect this is a business to be a double digit subscriber growth business year-on-year for the foreseeable future; we feel really good about it. It’s been very high; it’s now a little bit lower. We don't expect it to go lower than Tom indicated and we expect it to bounce around as we toggle the advertising spend based on a variety of things, so I am not worried about that in anyway. On the development side, maybe what you are talking about, developing maybe other is a better choice for the term, but its sort of a grab-back a bunch of things. It’s got a bunch of territories in there that are growing, Canada, Australia, Latin America that we feel really good about. It’s got something like Singlesnet that we paid very little for and is absolutely declining which now started again that its got subscriber you know $5 Match mobile only subscription if we don't really market anymore and that have been declining and it’s got OkCupid which doesn't really even have subscribers in the number. So I think looking at developing for a sense of directional foreshadowing is not right and that’s sort of why we broke it apart to begin with.
Tom McInerney: Yeah we broke out developing so that core would be clean and a good thing to look at more so than what’s within development.
Greg Blatt: And just although there are allegations involved so we don't break this out specifically the vast, vast majority of our profit contribution in this segment comes from core. We’ve got lots of, lots of other things in developing and they contribute very, very little. So I don’t worry about the subscriber growth trend. You know, sometimes they will be a little higher, sometimes they will be lower, but those are by our hand and we expect the double digit to continue. On the Match [see elsewhere] Tom wasn’t really aware that what was under way. But…
Tom McInerney: I think I’ll stay at the Match…
Greg Blatt: Yeah. Look I think, the way we use the….
Jason Helfstein - Oppenheimer & Company: I am looking at Match.
Greg Blatt: We use the term Match to describe the segment. But really there are few principle businesses in that segment. They each have a leader. Those leaders reported to me at Match and they continue to report to me now. I have a handful of direct reports who run various businesses and Match has a fewer goals, but not looking to centralize this segment under a single leadership. Barry on the other?
Barry Diller: On yes Newsweek and the Beast. I think that those of you who, I don’t know, if you are subscribers of Newsweek, but if you look at the issue that came out on Monday basically, which was really Newsweek’s first who so to speak, an exclusive story with Dominic Strauss Kahn, a New York scandal, whatever you want to call it, which was a really solid reporting. If you look at that book, that issue, you see a totally different Newsweek and you saw three, four, six, nine, 12, 18 months ago. I can even go back a little further if not. We bought Newsweek for a $1 actually and the merger of Newsweek and Beast and the leadership of Tina Brown as the editor and we called in her as the publisher. We are starting to get advertising back in this rhythm, Newsweek was nearly dead and we have stabilized and beginning to grow subscription. The losses are not really high, it’s in a year, year and half or so and I think it is probably somewhere between a year or so; a year and year and a half. I think we’ll have no losses and be on a positive side and I think we are a pretty small investment. We are going to build a serious long-term asset in new publishing and if I knew publishing if I mean the fusion of offline so to speak, the Book Newsweek and online book magazine referred to as a book and offline magazine and online publishing in a totally new concept. We are literally the only people who have taken a pure online original product in the Beast which has grown phenomenally at really relatively low cost over the last – this is almost two years, but that its been in existence and fusing it with Newsweek in one newsroom. And if we do pull this off and I think those of you who are interested in any form of publishing on or offline whatever and if you just look at the progress we have made, we have now 10 million Uniques on the online business, which is really quite strong readership. So I will go on a bit about it, but I think that’s that work is going to result in those reasonable losses, probably from inception to conclusion of loss, there will be 50 million something like that, total with the entire period, total investment.
Tom McInerney: Much of which has been already been spent.
Greg Blatt: Yeah, I think that’s from that point
Barry Diller: No, yeah, yes. So and then to build these assets are not, that’s what this company is all about. So we are doing a new media with Electus and CollegeHumor and Notional. We are at very low investments, we are building a new media company. We don’t talk about it very much in these calls, doesn’t have numerical results and it doesn’t have a big drag on us. But if we are successful in our approach to new media in three/five years it’s an asset you are going to be hearing about. I mean you are going to be hearing about the numbers because there will be numbers and I think that they can be speculative of course, but they can be if we realize the strategy that we have. they will be quite substantial. So I have gone on a bit, but we don’t talk about it very much here because there is no metrics really attached to it of materiality. So with that, let’s take the next question.
Operator: Your next question comes from the line of Ingrid Chung from Goldman Sachs.
Ingrid Chung - Goldman Sachs: So a couple of questions. First, on Match ARPU, it looks like you showed the first quarter of material ARPU growth in more than two years. I was wondering what drove this and should we expect ARPU to grow at a similar rate going forward and then secondly, I was wondering if you can think that increase in Google Chrome penetration has any impact on your search tool bar business? Thanks.
Greg Blatt: On the Match ARPU, I think we manage ARPU in a variety of ways by cropping number of businesses and there is no concerted effort to increase or not, it is a mixture of package mix, it is mixture of product mix, we disclose Match on a monolithic basis but each of the products have different price points and there is a lot of things driving that and I don’t expect ARPU to move meaningfully in either directions. I don’t think that is certainly not be a long-term initiative or part of a concerted. On Google Chrome I think look the reality is, years ago, Internet Explorer was the vast majority of browsers I think they are now it has got to be more diversity, Chrome is among them and they each present different product design and different approaches but we are geared up to do it and we started to make progress in those areas. So I think it is an opportunity and a challenge as we sort of, the bigger they get, the more focused we get on tackling them and so far so good.
Barry Diller: That’s one of the core components of our business that we are able to follow these browser platforms. Next questions please.
Operator: The next question comes from the line of Jim Friedland from Cowen & Company. Your line is now open.
Jim Friedland - Cowen & Company: Thanks just wanted to check on the media and other category. Were there any particular drivers in the accelerating revenues, year-over-year, in the June quarter and the revenue you’ve been generating about $3 million OIBA loss per quarter and the first half is as you – should we expect that loss to continue in the back half in ‘12 just as you invest in this younger businesses, thanks?
Tom McInerney: Yeah, to the later, I would say, definitely yes. I mean that there’s historically been a little possible. Seasonal website is possible in Q4 but we’ve been in this range two or three plus or minus for a while. And there’s some discrete things that can move due to the interaction but I’d say in general that feels like a reasonable proxy for a run rate. On the revenue side, I don’t think there was anything, a couple of the business is having some lumpiness to them, some of the new media stuff we’re doing that Barry spoke about as kind of deal elements in terms of when we recognize things. So that can move the number around again. I wouldn’t read anything overly positive or negative for that matter into it. I think for the moment, it’s the building of the businesses that Barry spoke to with the financial results largely small and largely unaffected by random kind of discrete things that had very modest levels of continuing investments.
Jim Friedland - Cowen & Company: Yeah, but and there may be a quick follow-up on the corporate overhead. It’s been about that 15 million OIBA, negative OIBA quarter excluding it looks like a Q4 one-time bump last year. Has it bottomed and should we expect that to start climbing again next year or is there anymore that could come out?
Tom McInerney: I think that there’s always elements of must do and there is always elements of strategic investment. It sound a bit funny to that line where we invest in certain things to grow our business and so I think for the moment it feels like the run rate certainly for the rest of this year we’ll look at again, really looking at and we’ll think about it again in terms of the ‘12 planning process. For the moment, I don’t expect any material moves in that but that will be a decision we make as we go.
Barry Diller: Do you want to say something else?
Greg Blatt: Well, I just think on the media again net-net fixing up on a material at all but and I think Newsweek in the context of this is a startup from a, it is, I think of it that way. But if you look at the revenues from purely startup businesses, all of these businesses in our media and other were up to a few million dollars in revenue, probably something between $200 million and $300 million in revenue. And for starting up media businesses, and this is within the last couple of years, the build up to a couple of hundred million dollars plus of revenue we are on the away. That if we keep going at anything like that velocity. For sure we are going to turn profitable in media and we are already again just start up some scale.
Barry Diller: Can we take up one more question please?
Operator: Your last question comes from the line of Scott Kessler with Standard & Poors. Your line is now open.
Scott Kessler - Standard & Poors: Thanks. A lot has been asked about Match and I just wanted to focus on international if I could. Its obviously been a major focus over the last year or so and I am wondering if you could frame the related opportunities especially pertaining to Meetic. Why is that so critical? Is it just about Europe obviously, a bit joint venture in Latin America, maybe if you could talk a little bit more specifically about international. Thanks?
Greg Blatt: Look you know this is a business where there are a lot of similarities across markets but there are also a number of cultural differences. So we are in Japan, we are in Canada, we are in Latin America, we are about to get back into Europe and these areas have various degrees of similarity of what we do in our core in the U.S. I think there are differences in modernization and payment patterns, and everything else. You go to Latin America. We had a huge number of users and not a huge number of payers and well, I think our approach is what we think that meeting people online is something that people do and naturally people are going to continue to do it. They are going to increasingly do it in the places when they are not doing it a lot now. Some markets will do it very similarly the way they do it in United States. And some will be more different. And if you look at Latin America, we are certainly experimenting with a variety of ways, different business models, different products et cetera than what we have in the United States. Japan, similarly, a great need so, there are cultural differences that makes growth much slower even though the opportunity is very large. Europe is critical because it’s probably the most than in the United States. It’s the one where our know-how, our knowledge of what to works here is the most leverageble there, which is why, I think, the operational opportunity to improve that business is so big but also as we roll out other technologies and other be it on social networks or video and that the whole host of things that we’re frankly working on. So, as things are going to be more globally leveraged just because of where the world is now versus where it was, you know, 10 years ago, when this businesses started 15 years ago. You had to go market-by-market. Now, you can launch things globally and the ability to launch products, offer existing communities of people, both active and inactive is huge. And so, we really do look at the world, there is sort of a series of independent but related opportunities in what we think is a very big market and we are tackling it everyway we can think of as opposed to one model approach.
Barry Diller: Well, thank you all very much. We hope you have a good summer, good rest of summer. We will talk with you again, I think, in November and meanwhile everybody have a safe and pleasant rest of summer season. Thank you.
Greg Blatt: Thanks.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may now disconnect.